Presentation:
Gordon Sanghera:
Nicholas Keher:
Gordon Sanghera:
Operator:
Veronika Dubajova:
Nicholas Keher:
Veronika Dubajova:
Nicholas Keher:
Operator:
Charles Weston:
Nicholas Keher:
Charles Weston:
Nicholas Keher:
Operator:
Kyle Mikson:
Nicholas Keher:
Kyle Mikson:
Gordon Sanghera:
Kyle Mikson:
Gordon Sanghera:
Operator:
Samuel England:
Nicholas Keher:
Operator:
Kane Slutzkin:
Gordon Sanghera:
Nicholas Keher:
Operator:
Zain Ebrahim:
Nicholas Keher:
Operator:
Jonathon Unwin:
Nicholas Keher:
Operator:
Andrew Whitney:
Gordon Sanghera:
Operator:
Julie Simmonds:
Gordon Sanghera:
Julie Simmonds:
Nicholas Keher:
Operator:
Miles Dixon:
Nicholas Keher:
Operator:
Charles Weston:
Gordon Sanghera:
Nicholas Keher:
Gordon Sanghera:
Operator:
Gordon Sanghera: